Denise Garcia: Welcome to the eXp World Holdings Third Quarter 2025 Earnings Fireside chat via live stream at our Metaverse on the web, Frame. My name is Denise Garcia, and I manage Investor Relations for eXp World Holdings. Today, we will begin our earnings fireside chat with remarks from Leo Pareja, CEO of eXp Realty; Wendy Forsythe, CMO of eXp Realty; Felix Bravo, Managing Director, eXp Realty International; Jesse Hill, Chief Financial Officer of eXp World Holdings; and Glenn Sanford, Founder, CEO and Chairman of eXp World Holdings. Following our prepared remarks, we will open the call to a Q&A session with our speakers. Let's begin with a review of the forward-looking statements. There will be a number of forward-looking statements made today that should be considered in conjunction with the cautionary statements contained in the company's SEC filings. Forward-looking statements are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. Please see our filings with the SEC, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q for a discussion of specific risks that may affect our business, performance and financial condition. We assume no obligation to update or revise any forward-looking statements or information. As a reminder, today's call is being recorded, and a replay will also be made available on eXp World Holdings. Now for a few logistics, and we'll get started. Welcome to our Metaverse on the web. For those of you joining in Frame today, to zoom in into a specific screen, you can click on that screen and then click zoom-in. If the content on the screen disappears or if you lose audio, simply refresh your page. While on Frame, if you need help, just use the "Help" button at the bottom right to link with tech support. Should you wish to ask a question during our presentation, you can enter your questions by scanning the QR code presented on this screen with your mobile phone or go to slido.com and type in the event code, EXPI. From there, you can submit a question or vote up an existing question by giving a thumbs up for that question to be asked. This screen will remain up on the right-hand side of the stage. Now I'll turn the fireside chat over to our speakers before opening the call to questions.
Leo Pareja: Thanks, Denise. We continue to grow and retain agents and get results. This quarter marked our second consecutive quarter of quarter-over-quarter agent growth. It's a great indication that our strategies and programs we've created to attract and retain agents are working. Not only have we been able to attract and retain agents, but we're creating a stronger, more productive agent base. Sales transactions per agent are up again, increasing 5% year-over-year. The number of our [indiscernible] agents is up 7% year-over-year and super excited, worldwide agent attrition has improved by 13% year-over-year. Let's talk a little bit more about retention and attrition in the U.S. on our next slide. In the U.S., the majority of our departing agents continue to be our lowest producing cohort, and we are retaining the highest producing agents, which are multiple times less likely to churn than our lower producing agents. In fact, of the nonproductive agents that left eXp, 63% left the industry altogether, but fewer agents are leaving with attrition improving by 18% year-over-year in the U.S. Our strategy to attract teams is working and helping drive the increase in productivity. 39% of new agents to eXp were on teams in the third quarter. Agents on teams are 79% more productive than individual agents. I'd like to highlight some of our notable teams that joined us. Starting with Tammy Register in North Carolina. Tammy spent a decade at KW and the prior decade at Hometown. She's consistently one of the [indiscernible] top agents in her market, either #1 or #2. We also welcomed a good friend of mine, Chris Heller, who was formerly CEO of Keller Williams Realty. He's held the #1 spot at Keller Williams, and he's held leadership roles across the industry in some of the most impactful companies in our industry. Then there was Brett Zebrowski that we welcomed in Southern California. His 90-agent team boutique brokerage came over, specializing in luxury real estate in Southern California. On the next slide, we have a top producing SoCal solo producer, Vivian Lesny, who's also ranked very high on the NAHREP list. Two of our San Diego powerhouses, Kyle Whissel and Dan Beer, came together to create the Whissel Beer Group. This merger will be one of the largest teams we have at eXp with over $1 billion in sales in 2024 and with huge goals for 2025. And we're interested to watch them scale throughout California, then regionally, and we expect to see them operating on our platform nationally. After that, the Victorica Group in San Antonio came back after briefly operating as an independent and very quickly realized the benefits of being able to scale on our platform. On the next slide, we have K2 out of New Mexico. They're the #1 Zillow seller home team who was formerly independent and now is joining us to scale. Right next door in Texas, Amy Tapp as an independent broker joined us as well, which has been a testament of how we continue to recruit independent brokerages. And last but not least, in the third quarter, we welcomed The Impact Group, one of Denver's top teams. Their 31-agent team closed $305 million in sales with over 400 units in 2024, and we're excited to see what they do here. On this next slide, I want to touch upon eXp University, which is a testament to the execution on everything we just delivered. FastCap has been in effect for over 12 months now with 17,000 agent registrations for the program and the agents that complete the program are reporting seeing results in both the number of appointments and agreements executed, whether it's buyer agency agreement or listing agreement. On the heels of that, we've just launched FastATTRACT. And most recently, we announced an AI accelerator 8-week program. With that, I'm going to pass it to Wendy so she can give you more statistics on what FastATTRACT is looking like.
Wendy Forsythe: Thanks, Leo. And building off of all the great information Leo was just talking about on eXp University, I want to share about our FastATTRACT program that eXp University launched in Q3. This is a program distinctly launched to help our agents build their revenue share lines. In FastATTRACT, we focused over a 6-week period, helping agents build their skills around building revenue share. And we had tremendous results with this program. In fact, the program was piloted in Q3, and the results were so successful that we're continuing on with the program in Q4, and it will become a part of our curriculum throughout 2026. So welcome FastATTRACT to eXp University's curriculum and congratulations to our 138 agents who had such tremendous results during our pilot program. We're really excited about the skill development that FastATTRACT will bring to help so many of our agents build their revenue share skills. Leo talked about the number of new joiners that were highlighted in the media. The second part of our PR strategy, in addition to highlighting our new joiners, is highlighting the thought leadership of our leaders in the media. And in Q3, we continued to highlight prominently our thought leadership around marketing and branding, AI and technology, women in leadership and advocacy for the consumer, grabbing headlines in all of the major industry trades for eXp. This is an important part of our brand messaging and voice strategy, and we did a really great job in Q3 in getting those headlines for us. In-person events continue to be another great part of what we do to build our culture and align in spending time with all of our agents here. And during Q3, we were excited to host a really phenomenal group of our top producers in Scottsdale, Arizona for our Q3 Mastermind Event. During the event, we had 387 agents attend the Q3 Mastermind Event, and it was a full 2-day event of masterminding, idea sharing. We had a top industry speaker, Jared James there and the event achieved top feedback for collaboration and idea sharing. So we were delighted with that outcome. And these events really are a core part of culture and collaboration. And as Leo likes to say, you earn your way into these rooms, and being in these rooms is really an important part of how our culture comes together and also how we stay attuned to what our clients and what our customers need and where our industry is going and what really is next. So that leads us to an event that didn't happen in Q3, but an event we spent a great deal of time planning in Q3, and that was eXpCon in Miami that just happened at the beginning of -- or just a couple of weeks ago in October. But as I said, we spent a great deal of time planning in Q3. I'm happy to share that we actually had greater attendance in eXpCon Miami in 2025 than we did in 2024, something that our entire team is hugely proud of. We had a great event, and it truly was a time for our culture to shine. We had over 105 breakout sessions. We had over 50 of our eXp agents shining brightly up on the general session stages. And something that was really exciting about the event this year is that we capitalized on what we in the marketing world called user-generated content. So we are really leaned into marketing the event through the use of utilizing all of you, our agents as our key marketers before, during, and after the event. We were so excited by what you shared to help us market the event on social media through providing you with tools to share your experiences. And what you see here on the screen is a recap that went viral around all of the different announcements that we had during eXpCon in Miami. So this user-generated content marketing is something we use before, during, and after the event as a marketing campaign strategy for the event to get you involved and to help build excitement and spread the word around the event. So thank you all for helping us market all of the great things that happened at eXpCon in Miami. Next, I want to give a little love to our operations team and share a little bit of the day in the life of what our operations team works on every single day. On an average day, our operations team, some of you might be surprised by these numbers, handled just over 14,000 expert care desk tickets. And on average, 73% of those tickets that come into our expert care desk are resolved on that very first contact. We know how important it is for you when you need us to get those tickets resolved. And on first contact, 73% of those tickets are resolved. Next up is calls. When you call us and you call us on average almost 700 times a day, we know that a last resort is picking up the telephone call or picking up the telephone and calling us. So when you call us, on average, we answer that phone the vast majority of the time. If we don't answer that phone, you're on hold on average less than a minute and 40 seconds. So we know that when you call us, you need us, and we're here to answer those calls and help you out. Our broker support team conducts on average 30 broker training sessions per day to help train you and support you on everything that's happening in your business. You visit eXp World over 7,300 times a day on average. And this last stat is an incredible one. On average, 9 agents a day become ICON agents here at eXp in Q3, a phenomenal stat and one that I want to share huge congratulations to all our ICON agents. As this year, we celebrate the 10th anniversary of our ICON agents. So huge congratulations to all of you. All of these factors that I just shared and that Leo was just sharing all contribute to our value stack. In this quarter, we saw an increase in our production per person year-over-year. And that is in part due to the investment we continue to make in this value stack. So we saw a 3.5% increase year-over-year from 5 transactions per person up to 5.2 transactions per person. So an incredible achievement. And with that, I'm going to hand it over to Felix to give you an update on international.
Felix Bravo: Thank you, Wendy, and thanks, everyone, for being here today. I'm really excited to share all the progress that we've been making on our international growth strategy. I'm going to dive into quite a lot. So let's start out on the next slide. As you can see, over this past year, we've been pretty busy. Year-to-date, we've successfully opened operations in 5 countries. We opened up Peru in Q1, Ecuador and Turkey in Q2, and South Korea and Japan opened just recently here in Q3. And the most important part about the fact that eXp continues to expand internationally is that in each and every single one of these countries. From day 1, we have opened up with active agents and transactions flowing through, even global referral transactions starting to happen, which we had in Japan the very first day. This is a testament to our new country launch playbook and how we are learning to open up countries more efficiently, open quicker, ramp up our agent count and transaction count faster, but more importantly, how we're attracting the right kind of agent, the productive agent looking to build their business both locally or even at a global level. Just recently here at eXpCon Miami, we announced our plans to open up Luxembourg, Netherlands, and Romania. We are really excited about these markets, and we are building off the momentum that we have created in EMEA by launching these 3 new countries in that region. We're confident in the leadership that we have found, which ties back to that new country playbook we've talked about so much this year, strong leadership and a strong value proposition that is focused on helping agents build the best possible business, whether that is to sell 5 to 10 homes or they want to build a mega team across the world that sells thousands of transactions. These markets are markets that are traditionally dominated by franchise and legacy models. And we have seen time and time again our ability to be disruptive in these markets and provide a better value and a more competitive split for these agents. So very excited about these 3 new countries. We also just recently announced that commercial is going international. So this is really exciting because as international scales, our demand and need from our agents to help them in not just the residential aspect of their business, but the other aspects, whether it be commercial or luxury or other affiliate businesses is starting to build. And so we're really excited to announce that U.K. -- we're starting commercial in the U.K. So U.K. commercial officially launched October 8. And from day 1, we already have commercial agents in the U.K. beginning to join. But more importantly, it's another added value proposition even for our commercial agents in the U.S. and Canada who are now able to do cross-border transactions across the pond with their investors, et cetera. So very exciting about U.K. commercial, and I'm actually going to share a little bit more business highlights for you guys from the third quarter on this next slide. So we have hit a massive milestone for us here at eXp International after just 9 months of the year. In 2025, we have surpassed last year's total revenue number and crossed the $100 million revenue mark for the first time in a calendar year. So we have built some incredible momentum. In Q3, our real estate transactions grew 44% year-over-year, driven by a 56% year-over-year increase in our productive agents. And that resulted in a 34% increase in productivity per person as well as a 59% increase in sales volume. This is a testament to the fact that what we've talked about over the last year, doubling down on value proposition, focusing on working with the top-performing agents in each country. Our current existing agents are leveraging the platform to become more productive, more productive than they were previously either at other brands or on their own. But more importantly, also, the new agents we're attracting and as we open up new countries, these are agents who are coming in productive day 1, leveraging our platform. We have always been where the pros go to grow in North America, and we have taken that page, and we've taken it internationally, and we are now attracting some of the top teams and top agents across the world. So we're fully operational, like I said, in Peru, Turkey, Ecuador, South Korea, and Japan. And that doesn't just mean that we're open. That means we have agents doing transactions both at the local level in those countries, but like I said, already leveraging that referral platform and starting to spread transactions internationally. So the more that we continue to grow and expand, the more value proposition and opportunities we actually offer our current agents. So on the next slide, we'll talk a little bit about what are our future goals, right? We've shared this with you guys in the past. All this momentum that you're seeing, all this building that we've done puts us confidently on track with our international market expansion strategy. So we're still on pace and still looking towards a 2030 vision of 50,000 agents in 50 countries. And we're going to continue to do this by partnering with strong leadership in countries where there is demand for a model like ours and focusing on creating the most competitive business model and most competitive value propositions for what an agent needs at the local level to sell real estate while giving them the accessibility to a global platform. With that, I will turn the call over to Jesse Hill, who will walk you guys through our third quarter financial highlights.
Jesse Hill: Thank you, Felix. Congratulations on the $100 million milestone. That's an incredible accomplishment. And now I'll walk us through our consolidated operational and financial highlights for the third quarter beginning on the next slide. Starting with revenue, we generated $1.3 billion in the third quarter, up 7% compared to the third quarter last year with no material change in the macroeconomic environment. Real estate sales volume was up 7% for the third quarter, driven by an increase in home sales prices and agent productivity with a 3% year-over-year increase in sales transactions. Agent count was 83,446, down 2% year-over-year, but as Leo mentioned, a 1% quarter-over-quarter increase in 2025. Also, we continue to see an increase in transactions per agent, indicating that we are attracting and retaining highly productive agents. Our GAAP gross margin was 6.5%, down 57 basis points from Q3 of last year as a result of more productive agents hitting their cap. Our non-GAAP gross margin, and we still show this to compare to competitors who exclude stock comp and revenue share was 10.9%. Adjusted EBITDA of $17.7 million continues to be positive but down year-over-year, driven partially by the compressed gross margin that I mentioned, but also offset by improvements that we made to streamline operations in the first half of this year that are beginning to pay dividends now in Q3. Finally, we ended the quarter with a healthy cash position of $112.8 million on the balance sheet. On the next slide, I'll highlight our financial results by segment for the quarter. The North America Realty segment continues to be the largest revenue and profit generator for the company. North America revenue was $1.3 billion for the quarter with adjusted EBITDA of $23.1 million and operating income of $10.6 million. As a reminder, we are showing operating loss or income by segment as it is one additional view that we utilize internally as a leadership team, and we want to continue to include that transparency here for our analysts, investors, and agents. International, as Felix just walked us through, continues to scale and gain momentum with revenue growing 68% year-over-year for Q3. This was driven by an increase in productive agents and transactions. Adjusted EBITDA loss improved 5%, primarily as a result of the increased productivity driving the increased transactions and revenue. Other affiliated services, which is primarily Success, contributed modest revenue with an adjusted EBITDA loss of $1.3 million. On the next slide, I'll discuss some drivers for the quarter. The actions we took in the first half of 2025 laid a strong foundation for the results that we're seeing now -- we focused on improving operational efficiency through back-office automation and technology investments while leveraging AI to stream our high-volume workflows. Our expanded affiliate programs, including eXp Luxury and Land & Ranch are expected to contribute to margin expansion as they continue to ramp, and our scalable international playbook continues to drive growth across markets. We also introduced enhanced marketing and digital community tools, empowering our agents to build stronger, more sustainable businesses. Together, these initiatives have strengthened our platform, improved productivity and positioned us to deliver profitable growth as the real estate industry continues to evolve. Now let me walk you through our ongoing priorities on the next slide. Looking ahead, while we don't provide specific forward guidance, we remain focused on increasing operational efficiency and driving continued profitability. Our ongoing priorities include further leveraging AI and automation to simplify operations, expanding our affiliate and partnership programs such as sports and entertainment, and continuing to grow internationally with a disciplined scalable model. At the same time, we'll stay financially flexible, reserving the right to invest where we see meaningful opportunities to support our agents, strengthen our technology platform, and enhance long-term shareholder value. As always, our focus remains on executing with discipline, maintaining a strong balance sheet, and continuing to build a more efficient, resilient, and profitable eXp. With that, I'll turn the call over to Glenn before opening up the call to questions.
Glennn Sanford: Thanks, Jesse, and thanks, everyone. This quarter has been about simplifying, strengthening, and scaling across every part of the organization. Obviously, I'll start with SUCCESS Enterprises because that's where I've been spending a fair bit of my time, and it now represents one of the blueprints at the edges that we're using for how we evolve eXp as a platform company. Last quarter, I shared that I'd be stepping in as Publisher & Managing Editor of SUCCESS. Since then, we took decisive action to streamline operations and reimagine the business. We focused really on 3 things: AI-driven operations. We've embedded AI throughout the back office product and operational workflow, we've eliminated unnecessary complexity and dramatically increasing output per team member, we actually replatformed SUCCESS.com. We rebuilt the site from the ground up for scalability. Again, we talk about this quite a bit, but we have really an incubating team of Vibe coders around the organization who are subject matter experts that we are repositioning to actually take on core development roles of platforms and systems inside the company. And then we are also renewing our SUCCESS Coaching Certification, which we'll do -- we'll launch in January 2026 with Courtland Warren. We've also introduced labs.success.com as a hub for experimentation, learning, and collaboration. Through these actions, we've reduced our annualized spend by more than $2 million since Q2 which is obviously quite an accomplishment while improving both speed, innovation and quite frankly, team cohesiveness. This transformation didn't just make success stronger, it also gave framework how to evolve other segments of the eXp platform. So revitalizing SUCCESS has become really the model for how we think about platform development across eXp. Our Vibe developers, the internal product teams building for agents, brokers or staff are now using the same approach to rebuild the systems company-wide and as standout example of this progress is the eXp Connect Hub. Really the hub was born from labs.success.com which ironically, we actually working on labs on August 7 of this year, and it's now a fully-featured personal development, social network for the personal development industry. And we put that to become the eXp Connect Hub less than 2 months ago, and it's now deployed. We have thousands of agents, brokers, and staff now using it. And we've been able to do that really because of what's going on with AI, 10x faster at literally less than 1/10 the cost of similar featured SaaS collaboration tools that exists out there in the market place. So it's not -- but it's not just about cost, it's also about capability. Our Connect Hub really gives us complete customization across every team, region, and community in eXp. So agents, leaders, and staff can design digital spaces that integrate communication, learning, dashboards, and automations all inside of our ecosystem. It's really been built for how we actually work decentralized, agent-centric, and global by design. The eXp Connect Hub ties together the 4 strategic parts of our business creating a unified platform that scales globally. EXp Realty North America, obviously, the engine of the business, international success and FrameVR.io., all of these really create this global connected network. And really, we think about this as a platform that no other brokerage can match, one that integrates full stack marketing, deep personal development, and mindset growth through success, health, and wellness resources for sustained performance and a fully immersive global collaboration layer powered by Frame and the Connect Hub. Everything we're building from AI copilots to digital community tools is designed to help agents build scalable, sustainable, and life-changing businesses. With that, I'll turn the presentation back over to Denise to facilitate the Q&A.
Denise Garcia: Great. Thanks, Glenn. So I'll kick it off with a question for everyone on the team before we open the call to questions from the audience and our analysts. First, this one is for you, Glenn. Since you started eXp, you've often talked about eXp being the platform for the future of real estate. How do you see that platform vision playing out now?
Glennn Sanford: We've seen this really since the Internet started to take shape and form, the ability for people to be connected in a way that allows them to operate more seamlessly. So it obviously started with things as simple as e-mail. But now, of course, we've got virtual worlds, but all this is powered by high-speed Internet, you got Starlink, you got all these things. So you basically have all these, we'll say, bricks-and-mortar legacy infrastructures that are effectively being digitized and democratized as we go. And then that obviously changes, creates an opportunity for a different type of business model. Of course, we saw that in 2009 out of necessity. I quite frankly couldn't afford the offices I had, but I came out of technology and just recognized that eventually this would be the way that the world would operate. And of course, if you talk with Leo, talk to others, there hasn't been a new model launched in the last 4 to 5 years that is legacy based. Everything that's being built now is all leaning into this fully platform environment. And then you kind of look at the scale of those platforms, and we are 1 of 4 or 5 platforms that will fully scale out over time to capture a pretty good portion of the organized real estate business, of course, with everything else going on, it even puts us fortunately, but at some level, unfortunately. But fortunately, in a major way, we're super well positioned to take advantage of the new changes that are happening in the industry at large. So that only happens because of sort of this platform piece. And I talked about it in 2017, 2018 on earnings calls that I believe fundamentally that there would be about 5 different platforms for real estate. As it's looking, it looks like those will generally be the platforms that will emerge as the winners. So if you have fun, go back and listen to some of the early calls, but it's seeming like that's all sort of coming to fruition.
Denise Garcia: Great. Thanks. The next question is for Leo. Leo, as you mentioned, eXp continues to narrow the gap on agent growth in the U.S. What do you see as eXp's advantages over other brokerages, particularly in the midst of consolidation and change here in the U.S.
Leo Pareja: Thanks, Denise. To dovetail on a lot of what Glenn said, we're a fully scaled enterprise. We are no longer the disruptive start-up, but now we're probably considered one of the larger incumbents of the new breed. So I often say Glenn created a category, and we're that category leader. That means that we now have the vantage point advantage of being in all 50 states in addition to many, many international markets, but we have the cash flow, the sustainability and the ability to invest at a size and scale that most other of the smaller similar companies attempt to become us. And with the level of disruption that's coming through consolidation, I think we're uniquely positioned to become one of those surviving larger scaled enterprises that Glenn just referenced that he was able to kind of telegraph even 7, 8 years ago. So a couple of things. One is no one company or model will capture all the market. So if you look historically to the previous incumbents of RE/MAX and Keller Williams in both of their heydays, they never really got above 10% or 15% of total agent count in the United States in any given year. And that variance depends on the total number of agents at NAR to the total number of folks in the subsequent company. So it's not a winner-take-all situation. And I think the Compass Anywhere combination will probably serve a specific market of agents who are attracted to kind of the brand-first model versus we fundamentally believe that we're secondary to the agent. We believe the agent is the brand on the ground. And I think we continue to refine who are -- the agent we serve is, and I always like to say we're the home of that entrepreneurial agent, whether that is a solo producer or whether that is a team leader who wants to build a scaled enterprise, multistate, multi-market. I typically refer to us as a platform. So I would say some of our competitors want to be the app in the App Store, and we actually want to be the iOS providing them the tools to become the app. What I am very confident is, in this new world of fewer larger players, I think the only question is which one we will be either 1 or 2 or 3, but we will definitely be one of the scale players that has an opportunity in this unique marketplace.
Denise Garcia: Thanks, Leo. I'll ask the next question to Wendy. Wendy, what do agents want most from eXp? And how are you evolving the agent value stack to meet those needs?
Wendy Forsythe: Thanks, Denise. I think there's 2 things that agents are really looking for from eXp. The first one is innovative tools and technology to empower their business growth. Agents need to stay ahead in a competitive market. So they're turning to eXp for its forward-thinking solutions, whether it's Canva, whether it's CRM of Choice, Revenos, PayNow or My eXP, just to name a few. These are all tools that allow the agents to empower their marketing, branding and lead generation to be more accessible and effective so that they can scale their businesses effectively. The second thing agents are looking for from us are training, coaching and community. While we are a virtual brokerage, we are deeply rooted in real connection and education, whether it's our weekly big agent meetings, eXp University, Elevate Coaching, our one-on-one mentorship programs or eXpCon in Miami that I talked about during the presentation. We find ways to place real value on continuously learning, growing and connecting together with our top producers with supportive peers and with our leaders. So those 2 pillars, tech innovation and a collaborative community creates a powerful environment where our agents can thrive regardless of where they're at in their career. As Leo likes to say, we are a platform where you can build the dream for any size no matter where you're at.
Denise Garcia: So next, I'll go to Felix. How is eXP different from traditional brokerages in the newest countries that you've just added?
Felix Bravo: Yes. Thanks, Denise. I think that's a great question. In the Netherlands and Luxembourg, we see a market that is traditionally dominated by employed models. Something -- it's very similar to what we've seen in the U.K. U.K. is traditionally -- most agents are employed, and so they have a fixed income and a base salary from their brokerage or their state agency. Over the last 5 or 6 years since we've been open there, we've been disrupting that model. And actually, most recently, over the course of this year, we are now the #1 estate agency brand in terms of listings and sales. And so we've seen that our model can disrupt the employed model. And in Luxembourg and Netherlands, we're really excited to partner with agents to give them the opportunity to have much more competitive splits, but also to have a higher earnings potential and leverage the platform to grow their own brands instead of being just an employee to their state agency. Similarly, in Romania, we see that Romania is a market that is traditionally dominated by legacy franchise models and agents are typically on 50-50 splits, 60-40 splits and really do not have the opportunity to build their own business. And so we've seen our success bringing our model internationally. And in Romania, we're excited to partner with the agents there that have already started reaching out because they're excited about not just our competitive splits, but the opportunities to build their own business, build their own brand. And more importantly, in most of these markets, they've never seen a rev share model or an equity model. So we're giving the power to the agents for the very first time in many cases in these markets.
Denise Garcia: Great. All right. Jesse, a question for you, and then we'll kick it off to the analysts in the audience. Is there a particular growth metric that stood out to you this quarter?
Jesse Hill: Yes. Thank you, Denise. We track quite a few KPIs internally, of course. But one that I'd like to highlight for Q3 was our agent productivity, which we define as sales transactions per agent. Leo highlighted this in his introduction. But just to add some more color, it improved 5.4% year-over-year here in Q3. And at our scale, that translates into very meaningful gains. We're talking about 83,000-plus agents, 120,000-plus transactions just in the quarter. And so incremental improvements in this particular metric really begin to compound significantly on that kind of volume. It's also a testament -- we've been speaking about this for a few years now, right, the strategy of where the pros go to grow. And this is really a direct indicator on, is that actually happening, right? The whole strategy is to recruit, train and retain the most productive agents and teams and a 5.4% improvement just on the quarter in agent productivity shows that, that strategy is playing out for us.
Denise Garcia: Great. All right. So we'll open up the call to questions. [Operator Instructions] For now, I'll take our first question from Tom White at D.A. Davidson.
Thomas White: Two, if I could. First on OpEx. Jesse, you called out that sizable step down in G&A, which was able to kind of offset the impact of the lower gross margins. I'd be curious just to hear maybe what you thought like the top 2 or 3 things that you guys did or that affected that decline in G&A. And just curious how sustainable this new level is? Like is there anything -- any kind of onetime-ish or timing-related things that made it particularly low? And I guess just thinking about if the market fingers crossed kind of perks up at some point next year, like can you keep G&A here? Or will that sort of inevitably rise when revenues fingers crossed eventually kind of start growing more meaningfully? And then I got a quick follow-up.
Jesse Hill: Yes. Thanks for the question, Tom, and we're happy to be speaking to a surprise beat on G&A, right? It really speaks to -- we've had this talk track for a few quarters now, and we appreciate everyone's patience, right? We knew we were front-running some expenses as we were investing in AI and automation and stacking some of that OpEx. We saw $86.5 million in Q1. We saw $89 million, excluding the onetimes in Q2, and now we're down to $82 million to what we spoke to and to your question, Tom. I can say there's nothing accrued, nothing odd. This is our new base in Q3. We reserve the right to invest in interesting things that come across, right? And we also further expect to continue to drive unit economics down. So what you're seeing now is the result of what we've been speaking to for the last several quarters. You asked -- hit on 2 or 3 things. I'll say it's -- I think it's 2 real things. Back office streamlined operations. So really just taking a look at the way that we have structured our organization and the way that we process transactions and that sort of thing and really hitting on automation there as much as it could be driven by AI, but really just looking at it from a unit economics and efficiency play. The second part, of course, is the AI. We've offset a lot of what were previously manual processes. There's quite a bit of SaaS that we are now moving to internal tools and products for. I would say it's those 2 things, streamlined back-office operations and AI offsetting quite a bit of SaaS costs for us.
Thomas White: Okay. And then just on the agent count, nice to see another quarter of sequential growth. It sounds like Teams is a bright spot. I would love just maybe a bit more color on the Teams growth. Is it coming from particular parts of the country? Are the teams coming to you from particular competitors or other models? And then I guess, as you look at your overall value prop, what could you do to even kind of turbocharge the Teams attraction more, either from like kind of how you structure the economics or I guess I'm more curious about like the technology and the sort of the feature set side that teams need.
Leo Pareja: Thanks, Tom. I'll take that one. So it's a little bit of all of the above. So one is if you track our press releases, we have been winning across the board, not any one specific company. So legacy players, independents, and the highest producing teams, we are disproportionately winning. So a couple of fun stats. Real Trends published an article in the last couple of weeks that said, of the mega team category, I think there was like 500 and some teams with something like 28%. Again, total population count, we have somewhere about 4% of all the agents that are members of an AR. So we disproportionately -- I would say we are the home of the super team. And it comes from many things that have been very intentional. So I had it as one of my slides, eXp University is a value stack that we really designed to support these teams. So for example, FastCAP at other companies or other coaching companies could be as much as $8,000, $9,000 per person. So take a team of 50, which is on the higher side of the team scale that we have, and they onboard, call it, 10, 20, 30 new agents per year. By putting them through our program, we're legitimately offsetting tens of thousands of dollars into their P&L and also giving them leverage. So you asked about technology, but it's also about human capital, right? So the tools that we're providing to them have become the onboarding process before their folks start to jump in. And whether it's technology that we're building internally, a lot of it being even personally led by Glenn with the Vibe coding teams, but also the enterprise agreements we've been able to strike because of our size and scale. So Wendy has done a phenomenal job with the launch and the continuing to drive the value proposition with Canva and other tools where we can then empower them. But I think, Tom, to your question, you should think of the value stack inside of eXp University as part of our technology stack in the sense that it's all virtual, it's scaled, it's deployed. And we're having thousands of agent registrants sign up per month, and we're delivering output that most companies wouldn't be able to do internally and would almost reflect a coaching company. The last stat that I'll share, as we look at our year-over-year growth on revenue, it's single digits that very much match the growth of the transaction count in the housing market, but an interesting stat that Jesse and team track for me specifically as I get in front of our top teams. So our top 250 team leaders as a group, we track for multiple reasons. But that same cohort year-over-year is up over 15% on revenue. If we just take the 2% growth in revenue overall as a company, our top-performing teams are up double digits. So it starts creating an ecosystem and a collaborative culture, which is literally impossible to replicate at scale in a single company. And I think that's what continues to be the biggest attraction for those hyperproductive teams. And so I would say that we very much are focused on that. I just flew from Las Vegas yesterday, where I spoke at the Zillow Unlock conference, 2,000 agents in the auditorium, which are mostly Zillow Flex team leaders. And anecdotally, just looking out in the audience, it almost felt like an eXp event. So that's just a testament of the level of practitioner and producer that we attract and retain at the company currently.
Denise Garcia: Thanks, Tom. We had another question from our analyst, Stephen Sheldon at William Blair, who e-mailed me this question and asked, a question for Jesse. In recent quarters, you've talked about leveraging automation to reduce the cost of processing transactions. Can you provide an update on the progress you've made there and where you think the biggest opportunities still sit going forward?
Jesse Hill: Yes. And I think it's a similar talk track to Tom's question, but I can dig in a little bit more just on the specific -- the processing costs of a transaction. We still think we have runway there. We are implementing tools like Doc AI, which is document review and really streamlines what you can pull from contracts and automates what was previously very manual activity. There's many examples like that in the transactions process. We published our unit economic costs in the 10-Q. I think it was $620, $621 maybe in Q2, and it's down $523 in Q3 here. That's fully baked. There's direct and indirect costs that go into that. And the direct cost is where you get a lot of the -- that's like where the juice is worth the squeeze, right, because there's so much volume going through. And that's where AI also offers the most opportunity. And we feel pretty confident that we're just scratching the surface there. We really began heavily investing in this late Q4, early Q1, and we got a lot of questions on this, again, to my answer to Tom earlier on how much we were loading up the unit economic costs. But now you see the fruits of our labor here in Q3, pulling out really about a $7 million run rate just from Q2 to Q3. We expect to -- or we want to drive further unit economic efficiencies there. More to come in 2026.
Denise Garcia: Great. All right. Thanks, Jesse. In terms of the audience, we do have one question from the audience. The question is, eXp just won best use of AI by a brokerage. So looking for examples on what eXp has done to help agents remove drag from redundant tasks with AI.
Glennn Sanford: Well, I'll take that one because I'm kind of the AI guy on stage here. But there's a lot of stuff. So 2020, I'll just give you an example. In 2020, I had found a company that supposedly was using AI to do document management. We ended up leaving and building in-house, and then we've since -- using some of the newest models that have been frontier models. We now have a platform that does a lot of the more traditional transaction management type of activities. So it can do early review of contracts. It can do early review of documents that might be missing. It can be looking for things like signatures or other things. And that means that the agent touches it before it goes back in front of a real person when there are things that are caught early in the process. It's certainly a V1 for us. I think it's rolled out to all 50 states. But that's something we worked on for a better part of 5 years. And we think it's part of sort of this full back-office automation layer that we want to build out over time because it's a pretty redundant process. And there is a lot of copy paste going on between different parts of the platform. And so the more you have those automated things handled through either AI. And in reality, AI is a pretty limited aspect of what we do. AI is really the tooling that we use to build a lot of stuff where we've built -- and I'll take credit for in this particular case, but I went over worked at Success and said, "Hey, we really need a personal development social network." There isn't one that exists out there. And I've looked over the years at everything that exists out there, and we've used Discord, we use Facebook Private groups. We've done a whole bunch of stuff over the years. But August 7 was a specific date because that was the day that OpenAI dropped their new model into coding, GPT-5. And it was already in one of the platforms that we were using, a platform called Lovable, which we do a lot of prototyping in. But with the -- over the weekend, the coding model was so strong that it was no longer just building us prototypes. It was building us full-blown working software. And so Labs took on a life of its own. But again, it was pretty much me for the first month, probably 5, 6 weeks, I was just building it out and people were joining, and it was getting traction. We added a lot of other AI-related tools. We've got an AI coach in there named Victor. We've got -- anyway, so those are some of the things we're doing there. And then I think September 14, we had some discussions and said, "Hey, we really need a better experience." Agents want something that's more social. If you think about agents versus staff, they're a different type of user. Agents are always looking for their next edge in the business. Meaning that they're always wanting to scan. ’That's why real estate agents and social media go together really well because at the end of the day, they're looking for their edge and they're looking for a place where they can collaborate. And by creating a social network around them, they're able to now discover, self-discover more easily referral networks and other things. So the hub was built entirely with AI. And again, that was something that as a single person, without looking at a line of code, I built out to a pretty robust system. So those would be some examples. We've got a lot of other products and services, almost all of international. Felix, I don't know if you want to just touch briefly on all the stuff that's going on in international, what's been built with AI?
Felix Bravo: Yes, absolutely. We've been similar story to Glenn. And when a lot of these new models have dropped, it's allowed us to scale the AI tools that we were building even quicker. And so I mean, we've delivered something as easy or as simple as a website, right? So we changed all of our country websites to be in-house. That took on the next step as AI got better and we got better at using it to then delivering personalized and customizable agent microsite. So every single agent in international gets their own website with their own property search for their market. And then as we got better, it took on another life, and that's when we, just recently, at eXpCon rolled out Live, which is our public-facing portal. It's got all the listings of all the agents at eXp around the world with WhatsApp integration and a ton of other amazing tools, shareable listings and a ton coming up on that side. And so we've integrated that into every single aspect of the business. And now we're looking at a lot of the SaaS platforms that we did use and sometimes could, to a degree, even cause friction. We can now in-house it and create an ecosystem where all of the tools that our agents are using communicate with one another. And so whether that's a transaction management tool and an onboarding tool guide, every aspect of communication that an agent has either with our systems or with us can now all live in one ecosystem that speaks to one another and removes a lot of those barriers or frictions and creates a more streamlined process for agents. And I think that's also in part why we've seen such a big uptick in momentum and growth on international. Agents are now getting something with us that they just truly cannot get anywhere else outside of just that business model and platform and our scale and international connectivity. We're constantly rolling things out and excited to continue to share more updates. I think you'll see more on our side as well.
Denise Garcia: All right. Thanks, Glenn, and thanks, Felix. Thank you, everyone, for joining. As always, please stay connected by visiting expworldholdings.com for the latest updates on eXp news, results and events. Additionally, you'll find a recording of this call and our latest investor presentation on the Investors section of the site. This concludes the eXp World Holdings Third Quarter 2025 Earnings Fireside chat. Thank you.